Operator: Welcome to the Qurate Retail Inc. 2024 Q3 Earnings Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder this conference will be recorded November 09. I would now like to turn the call over to Shane Kleinstein, SVP, Investor Relations. Thank you. Please go ahead.
Shane Kleinstein: Thank you and good morning. Before we begin, we'd like to remind everyone that this call includes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual events or results could differ materially due to a number of risks and uncertainties, including those mentioned in the most recent forms 10-K and 10-Q filed by our company and QVC with the SEC. These forward-looking statements speak only as of the date of this call and Qurate Retail expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statement contained herein to reflect any change in Qurate Retail's expectations with regard thereto, or any change in events, conditions or circumstances on which any such statement is based. Please note that we have published slides to accompany the earnings release. On today's call, we will discuss certain non-GAAP financial measures, including adjusted OIBDA, adjusted OIBDA margin, free cash flow and constant currency. Information regarding the comparable GAAP metrics along with required definitions and reconciliations including preliminary notes in schedules one and two can be found in the earnings press release issued today or our earnings presentation, which are available on our Web site. Today, speaking on the earnings call we have Qurate Retail, President and CEO, David Rawlinson; Qurate Retail Group's CFO, Bill Wafford; and Qurate Retail Executive Chairman, Gregory Maffei. Now, I will hand the call over to David Rawlinson.
David Rawlinson: Thank you, Shane, and good morning, everyone. Thank you for joining us today and for your interest in Qurate Retail. As anticipated, Q3 was the most difficult quarter of 2024. The challenged macroeconomic climate and events such as the Olympics and political conventions affected consumer behavior and viewership of our programming. Furthermore, this quarter was a challenging comparison to last year's very strong adjusted OIBDA growth. Looking on to your stat, adjusted OIBDA was up 19%. While we prepared for these known headwinds, our revenue in the quarter was lower than expected and resulted in meaningful deleverage throughout the P&L. At our video commerce businesses, revenue declined primarily from lower unit volume in the U.S., impacted by the aforementioned notable events and their associated impact on viewership. In addition, several significant unanticipated headlines further depressed viewership in the quarter, such as the assassination attempts on President Trump, President Biden stepping down from the election, and Hurricane Helene, which forced HSN to shift from live to tape programming for over two days. These events competed significantly for airtime and therefore impacted our business model to a far greater extent than other retailers. QxH total TV minutes viewed decreased 4% in Q3. According to industry data, the number of hours watched for TV shopping decreased 8% in Q3, while major networks grew 16%, and news and information programming increased more than 20%. Based on sales trajectories immediately preceding large headline driving events, we estimate that competing events collectively reduced our revenue approximately 1 to 2 percentage points in Q3. In this environment, we held consolidated gross margin flat and maintained disciplined cost management. Product margin gains were offset by unfavorable fulfillment from higher wage and freight rates due to inflation and market pressures. We reduced operating expenses $11 million and SG&A $10 million year-over-year. Our adjusted OIBDA margin contracted 80 basis points due to approximately 125 basis points of sales deleverage. Cornerstone Brands continues to navigate a challenged housing market and had a disproportionate impact on our Q3 results. While it was 11% of total company revenue and just 2% of adjusted OIBDA, it had an outsized impact on the total company revenue and adjusted OIBDA decline. Cornerstone is taking action and implementing a Project Athens like transformation plan that I'll describe shortly. Looking at QxH, total customer count declined 5% in the quarter, driven by a 6% decrease in existing customers and a 1% decrease in reactivated customers. New customers increased 2%, the fifth consecutive quarter of growth. As you can see on Slide 8 in our presentation, on a trailing 12-month basis, the count was down less than 1% sequentially in the 12 months ending September 30 compared to June. Our existing customers continue to purchase at healthy levels, spending on average $1659 and purchasing 32 items in the 12 months ending September 30, up 6% and 4% year-on-year respectively. At QVC, our best customers who buy 20 or more items annually also continue to purchase at very attractive levels. In the 12 months ending September 30, they bought 76 items and spent $3,960 on average, up 1% and 4% year-on-year respectively. Now, let me update you on the Age of Possibility campaign and our influential Q50 brand ambassadors. We continue to take the Age of Possibility on the road and hosted events in New York City and Charleston in the quarter. In New York, we broadcasted two live shows during Fashion Week. We brought together most of our large fashion vendors, including Dennis Basso, who presented his spring and summer 2025 Couture Runway Show. Approximately 200 customers and several of our Q50 brand ambassadors, including Martha Stewart, Melissa Rivers and Stacy London, attended the shows. We are pleased that the event generated 2 billion media impressions. In Charleston, we teamed up with celebrity chef Carla Hall and welcomed thousands of visitors to a food event that was the finale of our summer foodie travel series. We offered samples of food and drink from QVC vendors, including Callie's Biscuits, Mascot Pecans and Boylan Bottling, as well as feature products from Le Creuset, MacKenzie-Childs and Sweet Heritage by Carla Hall. These initiatives are important to our long-term brand building strategy and particularly impactful to our existing customer funnel. Asia Possibility brands include existing brands as well as new offerings. We continue to experience demand with particular strength from Kim Gravel, Jennie Garth, Alina Villasante, Stacy London and Laura Geller. From a merchandise perspective, consumers remain selective in their discretionary spending. They responded more favorably to seasonal events for home decor and food. We experienced strength in Bethlehem Lights and Valerie Parr Hill decor during Christmas in July as well as for Rastelli's Prime Rib and Corky’s Stuffed Turkey in our Fall Home Event. Despite their cautious behavior, customers still continue to respond to merchandise at the right value. Examples included leather jackets by Giuliana, Denim & Co and Dennis Basso, e-bikes, EcoFlow generators, intimates from Evelyn & Bobby & Breezes, footwear from Skechers and Easy Sprint, beauty devices from Dyson and luggage from Hulken and Samantha Brown. While our apparel business experienced lower sales, it outperformed the overall business driven by demand for brands from our Q50 brand ambassadors and celebrities at HSN, including Christie Brinkley, Jaclyn Smith and Jhoan Sebastian Grey. Our customers responded less favorably to fitness, kitchen accessories and floor care and home, computers and tablets and electronics, and bath and body and beauty. Changing notes. We are very excited to name Rosalia Bucaro as the new Chief Merchandise Officer at HSN. Rosalia joined in late September and brings more than two decades of retail experience from RUE Gilt Groupe and Bloomingdale's. She holds a wealth of expertise in fashion, merchandising, business strategy, brand development, and creating transformative customer experiences. Welcome, Rosalia. Finally, on QxH, let me mention two exciting programming highlights. We were thrilled to welcome comedian and actor Kevin Hart and renowned British rock band, Coldplay, to QVC. In late September, Kevin made his QVC debut with his heart-healthy VitaHustle protein shakes during a special Saturday morning queue. Kevin has more than 179 million social followers, and VitaHustle has gained significant traction in the wellness space. In early October, QVC hosted the return of our Q Sessions Live by welcoming Coldplay. QVC was the exclusive retail partner of the notebook edition record and CD of Coldplay's highly anticipated new album, Moon Music. We are thrilled that the LP edition sold out in 13 minutes. Coldplay performed a few of their new songs and engaged with our customers, taking three live testimonial calls. If you missed the show, you can watch it on QVC Plus. Our streaming business is seeing strong momentum. While still relatively small compared to our traditional channels, revenue, total minutes viewed and monthly average users all grew in the double digits in Q3. Turning to QVC International, results were mixed in the quarter. Revenue declined 1%, the fifth consecutive quarter of broadly stable revenue performance. QVC Germany and Japan both reported flat revenue with growth in home and electronics, offset by softness in the fashion categories. QVC U.K. revenue declined 1% with lower sales for apparel, partially offset by growth in home. QVC International's adjusted OIBDA decline was driven primarily by higher fulfillment costs and to a lesser extent lower product margins. The fulfillment pressure was due to higher freight and wage rates from inflation. QVC International maintained disciplined expense management and reduced operating and SG&A expenses. At Cornerstone, revenue declined 12% due to low demand from continued housing pressure. Despite the revenue decline, we grew gross margins from lower supply chain costs, though this was more than offset by costs for outside services related to the transformation plan and deleveraging of SG&A costs, resulting in a $5 million adjusted OIBDA decline. Cornerstone is implementing a transformation plan to improve its profitability, given the continued challenges in the housing sector. We are focused on driving increased revenue and reducing costs in key areas. Example of our actions include leveraging our combined purchasing power through direct sourcing for cost improvement opportunities, increasing use of advanced analytics and pricing and promotion, improving the core online experience, optimizing our direct-to-consumer marketing spend, and enhancing both efficiency and the sales experience in our retail stores. We are actively implementing changes to the business and expect to drive meaningful benefit through 2027. In conclusion, we are nearing the end of our multi-year Project Athens initiative and are very pleased to report the team has materially improved our business over this time period. The initial gains were mainly cost, margin, and cash flow focus. We expanded gross margins in five of the last six quarters and adjusted OIBDA margin in four of the last five quarters. We grew free cash flow, excluding insurance proceeds, nearly $400 million from December 2022 to September 2024. Our stated objective was to deliver stable revenue and a double-digit CAGR for adjusted OIBDA and free cash flow through 2024 from a base of 2022. Our revenue has underperformed this goal, which drove increased deleverage throughout the P&L. While we expect our adjusted OIBDA CAGR will be just under our Athens goal, our organic free cash flow generation is trending on track with forecast. The cost efficiencies we implemented in the business have resulted in a more profitable, leaner and more nimble organization that will continue to benefit from ongoing Athens work streams. Taking a step back, we also know our demographic is increasingly impacted by cord cutting. Therefore, we recognize the need to reach additional aggregated audiences on new platforms and to grow the business. I look forward to providing more details on this strategy at Investor Day next week. Now I'll turn the call to Bill to discuss the financial results of each of our businesses in more detail.
Bill Wafford: Thank you, David, and good morning, everyone. Unless otherwise noted, my comments compare financial performance for the three months ended September 30, 2024, to the same period in 2023. Starting with QxH. Revenue decreased 6% due to lower unit volume and shipping and handling revenue, partially offset by favorable returns. From a category perspective, home revenue decreased 3%, driven by lower demand for culinary and fitness products. Apparel saw gains in certain Age of Possibility brands but declined 3%, driven by soft demand for fall fashion. Beauty revenue decreased 4%, driven by lower demand for bath, body and hair care products. Accessories experienced growth in luggage sales, but declined 9% due to lower demand for footwear and handbags. Electronics decreased 16%, primarily due to weaker computer sales. Adjusted OIBDA margin dropped by 40 basis points. Gross margin declined 10 basis points with higher product margins being mitigated by fulfillment pressure. Product margins improved approximately 10 basis points due to higher initial margin from Project Athens initiatives, partially offset by lower shipping and handling revenue. Fulfillment expenses increased approximately 35 basis points due to higher wage and freight rates and deleverage. Operating expenses decreased 6% due to lower commissions. Despite a 4% reduction in SG&A expenses, we were still unfavorable by 35 basis points due to the deleveraging of administrative costs and increased marketing expense. Administrative expenses declined due to lower personnel expenses and outside services, while marketing increased due to brand marketing to support QVC's Age of Possibility campaign. Moving to QVC International. My comments will focus on constant currency results. Revenue decreased 1%, reflecting a 3% decrease in average selling price, partially offset by 1% increase in unit shift and favorable returns. QVC Germany and Japan were flat and QVC U.K. declined 1%. From a category perspective, QVC International experienced growth in Home and Accessories with a decline in Apparel and Beauty. Adjusted OIBDA decreased 9% and adjusted OIBDA margin contracted 95 basis points. Gross margin decreased 120 basis points due to higher fulfillment costs and lower product margins. Fulfillment costs increased due to higher freight rates and fulfillment center costs. Product margins decreased reflecting lower initial margin due to product mix and higher ocean freight rates. Operating expenses declined approximately 30 basis points. Moving to Cornerstone. Revenue declined 12% in the quarter as we experienced soft demand across our home brands. Gross margin expanded 290 basis points due to lower year-over-year supply chain costs, while these were offset by the sales deleveraging of operating and SG&A expenses as well as higher outside services related to the transformation plan David mentioned. Turning to cash flow and the balance sheet. In the first nine months of 2024, free cash flow was a source of $102 million compared to a source of $79 million last year, excluding insurance proceeds. The increase in cash flow, net of insurance proceeds, was primarily due to lower payments for TV distribution rights, partially offset by lower cash from operations. In the first nine months of 2024, we spent $23 million on renewals of our TV distribution contracts $137 million on capital expenditures. Looking at the Qurate Retail Inc. Debt profile. As of September 30, 2024, net debt was $4.7 billion. In September, we completed an offer in which 89% of our 2027 and 2028 notes were tendered for newly issued 2029 notes and $352 million of cash, of which $75 million was funded by QVC Inc. and the remainder by Liberty Interactive, LLC. The exchange improves QVC's credit profile by reducing its debt balance and extending its maturity profile. As of September 30, the QVC revolver had $1.3 billion drawn with $1.8 billion in available capacity. In terms of cash balances, Qurate Retail had total cash of $873 million of which $297 million was at QVC Inc., $201 millionwas at Liberty Interactive LLC and $275 million was at Qurate Retail Inc. Our leverage ratio as of Q3 is defined by the QVC revolving credit facility was 3.1x compared to our maximum covenant threshold of 4.5x. Please note that covenant OIBDA includes the adjusted OIBDA of QVC Inc. and Cornerstone and a portion of projected cost savings. We affirm that our debt level is manageable and our current cushion is sufficient in relation to the 4.5x maximum net leverage covenant threshold stipulated in our credit facility. Finally, as we mentioned last quarter, we received a notice from NASDAQ on June 10 that QRTEA's closing bid price needs to be $1 or more for 10 consecutive business trading days within 180 calendar days to regain compliance for continued listing on NASDAQ. If QRTEA does not regain compliance during this time period, we will apply to move the stock from trading on the NASDAQ Global Select Market tier to the NASDAQ Capital Market tier, which will provide us an additional 180-day calendar day period to regain compliance. As a part of this process, we will be required to effect a reverse stock split, if necessary, to remain on NASDAQ. Now I'll turn the call over to Greg.
Gregory Maffei: Thanks, Bill. As you heard, it was a difficult quarter. There was significant impact on viewership as headline grabbing events impacted sales more than originally forecast. While business has a healthier cost structure, top line softness has resulted in deleveraging across the P&L. We continue to proactively manage the balance sheet. We tendered for 89% of QVC's 2027 and 2028 notes, $959 million of principal amount. This was partially funded by $605 million of new 2029 notes, so an extension and the remainder was $75 million of QVC and $277 million of Liberty Interactive cash. This extends the runway of Qurate's debt maturity profile and in addition, interest expense was reduced by approximately $9 million from a combination of Fed cuts and exchange transactions. All of these support our goal of extending the 2026 revolver. We do recognize the landscape is changing with cord cutting increasingly impacting our customers. We are pursuing a new growth strategy to more deliberately reach aggregated audiences on primarily social and streaming platforms. David will speak in more detail about this at Liberty's Investor Day next week, November 14. We look forward to seeing you there. You can tune in virtually or join us in person at our new location, the Jazz at Lincoln Center. If you plan to attend in person, please make sure to register by Monday November 11, as there will not be on-site registration. The link to register can be found on our website. John and Malone and I will host our annual Q&A session. If you'd like to submit questions in advance, you can email investordaylibertymedia.com. And with that, we'll open the floor operator for Q&A.
Operator: Thank you. [Operator Instructions]. The first question is coming from William Reuter of Bank of America. Please go ahead.
William Reuter: Good morning. My first question is on the category performance. There was clearly a pretty large divergence. When you look at -- I guess, do you expect that the categories that have been soft will remain so? And I guess, are you taking actions in the near term to change your programming to put more of the categories of strength on air?
David Rawlinson: Yes, I appreciate the question. Thank you for that. I would say the category performance this time was really disproportionately impacted by the macro factors and events, both known and unanticipated and it just had a broad category impact. As I think I mentioned in my prepared remarks, viewership across our five channels in the U.S. were down 4%, and so that just drove a level of softness throughout categories and like I said, we think it had a 1% or 2% impact on total revenue and then corresponding P&L. When you look at the category specifics, home revenue decreased 3%. That was mostly driven by culinary and fitness. No reason to think that in a more normalized external environment, that we won't see some better performance and bounce back there. I do think we continue to see -- we leaned into apparel with Age of Possibility, some of the Age of Possibility brands. There was a little bit of softness outside of those Age of Possibility brands in Fall fashion. So we're continuing to watch and see how that developed. But overall, I think -- and then electronics, I think we continue to wait on a real boom cycle and innovation cycle in electronics. I don't think we've seen that fully materialize yet. I think if we see as we see more innovation in the electronics, and I think particularly the tablet, video game and television market, that market will be mostly dependent on the innovation cycle. So we're watching across categories very closely. We're changing our airtime assets as we see strength in particular categories, but I think this quarter was mostly a macro quarter in terms of understanding what was happening in the category and was less about the specific category dynamics.
William Reuter: Got it. And then last quarter, I think you mentioned that less than half of your product was sourced from China. In general, the way that your relationships work with your vendors, are they responsible for the tariffs if there were tariffs enacted or are the agreements such that you would be paying those? And I guess any commentary on how you were impacted by the tariffs the first time they came around in 2018?
Bill Wafford: Yes, I think if you to the point the importer of record in most cases are vendors or suppliers, right. We direct source it's still a significant portion of it. We negotiate those deals on a landed cost basis, right. So depending on how that in the tariffs flow through, we'll be on a bespoke basis how we manage each of our vendors. If you look at how that happened, how we manage that back in the last round several years ago, I mean, that's when you start to think about it, that's when we started diversifying country of origin sourcing, right. And that's when we moved a lot of sourcing out of China to other lower cost country source whether it be lower cost of goods or improved tariff. We'll continue to evaluate, continue to make strides there and we'll take them as they come in this time around. I don't think we'll be unique in how this is impacting relative to other retailers and expect us to handle it in a similar fashion.
William Reuter: Got it. And then just lastly for me, it would seem like despite the huge number of events that caused distraction for consumers in the third quarter, clearly, I think October was a month which had a lot of the same types of distractions. Was there any material change in the trends in October or did we see a lot of the same things we saw in the third quarter?
David Rawlinson: Yes, let me take that in two parts. First, maybe I'll try to describe with a little more particularity some of the trends and events. So on July 13th was the day of the first Trump shooting. On 13th, we saw average hourly reach decline 10% at QVC. Sales per hour fell 50% in the evening and prime time compared with the average of the morning and afternoon periods that day. So you just saw an almost immediate precipitous drop off in sales. Presidential debate on September 10, average reach in the first hour was down 36% at QVC. Sales per hour fell 20% in prom time compared with the evening hours leading up to the debate and even when you look at something like the Olympics opening ceremony, which turned out to be very widely watched, you saw sales per hour fell 25% in the afternoon hours versus the morning hours on QVC that day. So you did see a very direct read across between the events and viewership, which then corresponded to sales. I would say, the quarter was driven more by the ups and downs of the media cycle than it was by in the overall, I think, retail trend underlining. Because of that, there tended to be a few more events in the first half of the quarter than the second half. So we did see a little bit improvement as we went through Q3 but I think the biggest driver really was the news cycle.
William Reuter: Got it. Thank you. I will pass to others.
Operator: The next question is coming from Carla Casella of JPMorgan. Please go ahead.
Carla Casella: Hi. Thanks for taking the question. I'm just on the international customer, your customer declines in the quarter and you did call out a few markets, but can you just talk about any particular markets there where you're actually seeing the numbers down or a change in trend? And then if you could also give us some color on Asia, specifically, Japan.
David Rawlinson: Yeah, that's great. Thank you for the question. For the quarter, Germany and Japan revenues were both essentially flat, down, I think, 0.1 and 0. 3, respectively. So, I think relative stability there. Both countries saw sales growth in home and electronics and both countries saw softness in fashion. QVC U.K. declined 1%, mostly on lower sales for apparel and home. I think what you tend to see are idiosyncratic events across the international businesses, but you largely see an international business that's very stable. We have had more difficulties with shipping in the European businesses, because of some of the things that are going on in their shipping lanes. So that did have a little bit of an effect, especially in Germany and the U.K. But I think going into the -- if you look at just to hit that really quick, about 75% of our supply at our European operations go through the canal and so we did have a little bit more exposure and had to do things like changing some of our programming, etc. there. But I think the story at our international businesses is largely a story of stability. Some of the customer counts were down slightly, but I wouldn't read that forward as too much of a trend. We think -- we feel good in the medium term about being able to get to growing customer files across our international business despite there being some customer count softness, I think, particularly in Japan and Germany this year.
Carla Casella: Okay, great. And then you kind of alluded to it, the shipping, the gross margin impact from shipping, was that all the Red Sea and should that be more normalized as we go forward or was it just a Q3 hit?
Bill Wafford: Yes, like largely from the Red Sea and largely impacted our international business. Obviously, the majority of their goods flow through the Red Sea, I think near 75%. On the U.S. business, much more limited impact on that and we don't expect that to continue at all and we've already seen those back off in the time period.
Carla Casella: Okay, great. And then on your you mentioned the best customers, I think I got the number right, $3,960 average spend. Correct me if I'm wrong there, but then also, has your best customer numbers changed dramatically? And how does that compare to average spend for your existing customers?
David Rawlinson: Yes, that's great. So QVC best customers, which keep in mind is customers that purchase over 20 items a year, they're about 17% of the count and 76% of sales and we feel good about both existing and best customers in terms of their behavior. Average spend increased 4% year-over-year in the last 12 months, and you're right, $3,960 was about the average spend, so you nailed it. And we also had average items increased about 1% to 76 items. And so, in terms of behavior, we felt very good and then we saw similar increases in both spend and items in terms of existing customers. So what we're seeing is our customers who are with us remain engaged, remain excited about the programming, remain willing to spend and continue driving units up. And then I think on account basis, we continue to see reasonable stability sequentially. I think eventually, and I've said this, we have to get back to a growing customer file overall that hasn't been a primary target for us in Project Athens. It's been much more bottom line focused. I think, as we'll articulate a little bit next week at the Liberty Investor Day, count and revenue growth will come into focus as we go into our next period, focus much more squarely on the growth now that we have a better profitability profile than we did a couple of years ago. And I think that should be when we'll try to drive some increases in total customer count.
Carla Casella: Great. Thank you so much.
Operator: Thank you. The next question is coming from Jenna Giannelli of Morgan Stanley. Please go ahead.
Jenna Giannelli: Hi, good morning. Thanks for taking my question. So with the election now behind us and some of these macro attention grabbing events, is your expectation that viewership will sort of normalize into 4Q? I know Bill asked it a bit, but said, I guess, another way, have you seen signs of that yet? And then anything specifically you're doing on holiday that should perhaps drive the sales picture a little bit better sequentially?
David Rawlinson: Yes. So I would say, we haven't seen it yet. I think we're still watching through the Presidential results in the cycle, but we do expect to see a much more normalized picture in the fourth quarter, and I think we're looking forward to a little bit of stability in the viewing habits of our customers. We don't see any reason at this point to believe that we will not get to a much more normal viewing cadence in the fourth quarter. I will also say, we get the fourth quarter is our largest by volume and so some of the leverage challenges that we had in the third quarter just from volume deleverage running over fixed costs, that should improve in the fourth quarter. So we feel relatively good about that. We have a very strong programming calendar for the fourth quarter, everything from being the exclusive broadcaster of the National Pickleball Championships to another year of hosting the Radio City Rockettes, who will be back in studio, I believe, we'll have a QVC Goes to London Christmas event, you'll see lots of celebrities in our programming and so we feel good about the fourth quarter. I think a lot of retailers are calling out the fact that this is -- because of the way Thanksgiving Falls, there is a different period pre-Thanksgiving and then a different period between Thanksgiving and Christmas in terms of calendar days. And so, we are also scrubbing our programming and our cadence to adjust for that. But, yeah, going into the fourth quarter, I think we start out feeling like it should be a much more normal quarter than Q3 was.
Jenna Giannelli: Okay, that's helpful. Thank you. And then also I just wanted to ask on Cornerstone. Given the underperformance and I know you outlined kind of a plan for cost cutting and some improvements there, but have there been any other thoughts on strategic options or considerations for that business outside of just driving earnings improvement?
David Rawlinson: Yeah. I think so we like the Cornerstone businesses. We think those businesses, a lot of them have very defensible, competitively advantaged positions. What we've seen is those businesses in an upmarket tend to overperform the market, but are also vulnerable in down markets like we're currently in. I think when the housing market returns in force, we're still seeing housing starts that are depressed. We're still seeing mortgage rates that are very elevated. We're still seeing housing moves that are at a very depressed level. So we're clearly in a sector-wide depressed state and they sell into that sector. And so we think in a moment where that sector bounces back that we'll be well positioned to really take advantage of it. And so a lot of the work now is getting to a consolidated more profitable platform to take advantage of that market when it returns. I would say -- I've stated in the past that Cornerstone is not our core video commerce business, but we do think it's a very attractive business. We do think it's a business that will be worth substantially more in a couple of years than it would be valued at today, and we continue to think there's a lot of value to unlock in that business and then I would just also say that anytime we have an opportunity to create value for shareholders, whether it's organic or inorganic, we would always take a serious look at that. But today, we own the business and we are excited about the transformation opportunity of that business. One of the things that gives us so much confidence about the playbook we're about to run is we saw it materially increase the profitability of the QVC and U.S. businesses as a result of Project Athens and so, we're bringing to that business a lot of tools we've refined over the last couple of years.
Jenna Giannelli: Okay, perfect. That makes sense. And then, I just have one final one, if I can. And I'm looking forward to more details and color next week, but you talked about how you're ending your three-year plan. As we think about the next phase in the next two to three years, should we anticipate any further opportunity for cost or margin improvement, efficiency work, etc.? Or should we think about pillars of the next phase as mostly being focused on perhaps new revenue or customer channel streams, etc.? And again, appreciate we'll hear more next week, but just any additional early color on next steps and next phase?
David Rawlinson: Yes, that's great. I think great. I appreciate the questions. Well, Athens was very deliberately very bottom-line cost and margin focused. I sort of talked about stable revenue when we announced Athens, I very explicitly did not talk about revenue growth, because we weren't targeting most of our efforts at revenue growth. I think what you will see as we go into a more growth-oriented phase is a better balance across and so we are going to be looking to drive revenue growth, but we're also going to be doing it while continuing to have an emphasis on efficiency and margin and cost and productivity. And I would also say that we are still midstream in a lot of our Athens cost and margin and growth efforts that will continue to have substantial benefit beyond 2024. So, I think you'll continue to see a lot of the things that have driven the increases in profitability, in effect as we go into the out years, but you will see a more balanced approach to top and bottom line going forward.
Jenna Giannelli: Excellent. Thanks so much.
Operator: Thank you. The next question is coming from Karru Martinson of Jefferies. Please go ahead.
Karru Martinson: Good morning. With the resolution of the presidential election a little bit faster this year than the last time around, are you seeing that comparison return back to normal faster? Or are we still kind of in the watching the news tape here?
David Rawlinson: I think it's too early to tell. We're it's still very fresh. I think it's still washing through. I will say, I think the best-case scenario for us was a decisive victory either way that allowed us to get out of the news cycle. And I think that's what we saw and so I would say, from a business standpoint, I'm encouraged that it was able to effectively be decided on night one.
Karru Martinson: Okay. And when you look at your seasonal sales or holiday sales, has the consumer kind of still been responding to that seasonal offering or is that also being pressured by the pullback in discretionary?
David Rawlinson: Yes, it's a great question. I'm not sure I'd say I have a super clean read just because there were the macro events that made it a little bit confusing to read across. I think there are a couple of things I can say. I think it's still a reasonably promotional environment and we do see customers that are value conscious and looking for promotions. That's clear. I think it is a holiday themed holiday, if you will. So we are seeing spikes in seasonal. We are seeing spikes in holiday related decor and holiday related push events and so that does seem to be triggering. There's a little bit of a sense of holiday escape and a little bit of a sense of retail therapy that seems to be in the mind of the consumer right now. We are still seeing a more cautious consumer. I would say, we are still seeing a I would say, we are still seeing a consumer that's buying closer to need rather than further out. But I think the consumer is reserved. I think they're cautious. I think they're value conscious, but they're there.
Karru Martinson: All right. And then when we look at the capital structure, obviously, a big move with the extension to the 29s. We should expect the 25s to get paid off with revolver in cash, I would assume. And how does that kind of feed into the revolver refinancing outlook here?
Ben Oren: This is Ben Oren. Essentially the exchange offer gave us the runway to put an extension of the revolver in either late 2028 or early 2029. We still need to negotiate with our banks. We feel like we have the right tools to be able to offer them the improved terms and reduction in total borrowings to be able to facilitate that.
Karru Martinson: Thank you very much. Appreciate it.
Operator: Thank you. Our last question is coming from Hale Holden of Barclays. Please go ahead.
Hale Holden: Thank you. Just a follow-up on the last question. I think understandably for the last two plus years, you guys have carried very high cash balances. But with the maturity extension and pending revolver extension, I was wondering what you thought the right cash balances to carry would be or if we would see some of that cash deploy to the 25 pay down as opposed to putting it on the revolver?
Bill Wafford: So I think the best way to answer that is to talk about where the cash is. We've been relatively strategic about each tier. So the cash that's sitting at the Qurate Retail Inc. Level is committed to making payments on corporate overhead and on the dividend associated with the preferred. The cash at the Liberty Interactive level was used in mass scale to help us in the extension of the runway during this exchange offer. The argument being that the option value that we create by extending our runway is more significant than anything we create by paying down debt at the Liberty Interactive Box with those dollars. And then with respect to the cash that sits at QVC, we have generally been using dollars of free cash flow to repay the revolver whenever available. We keep reasonable balances, but they're spread across a pretty diverse regional base given that it's a global business. But we are happy with the cash balances in each pocket at this time.
Hale Holden: Got it. Thank you very much. I appreciate it.
David Rawlinson: All right. I think that are those are our questions for today. Thank you to our listening audience. Thank you to our presenters. And we look forward to seeing you next some of you next week in New York and perhaps some of you virtually. Thank you for your interest in Qurate.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today's event. [Operator Closing Remarks].